Executives: Steve Lance – VP-Finance and CFO John Regazzi – CEO and President
Operator:  Welcome to the Giga-tronics First Quarter Earnings Conference Call. My name is John and I’ll be your operator for today’s call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now like to turn the call over to Mr. Steve Lance, company CFO. Mr. Lance, you may begin.
Steven Lance: Thank you, John. First I’d like to read our Safe Harbor statement. This conference call contains forward-looking statements concerning operating performance, future orders, development of products, long-term growth and shipment. Actual results may differ significantly due to risks and uncertainties, such as delays with new product receipt or timing of future orders, cancellations or deferral of orders, the company’s going concern, potential warranty liability, needs for additional financing, ability to be traded on NASDAQ, the volatility in the market, price of our common stock and general market conditions. For further discussions see Giga-tronics most recent annual report on Form 10-K for the fiscal year-ended March 29, 2014, Part I, under the heading Risk Factors and Part II, under the heading Management’s Discussions and Analysis of Financial Condition and Results of Operations. I will now turn the call over to our John Regazzi, our Chief Executive Officer. John?
John Regazzi: Thank you, Steve. Good afternoon everyone and thank you for joining our quarterly earnings conference call. I will make some brief remarks and then open the call for questions. Net sales were $4.5 million this quarter as compared to $3 million in the same quarter a year ago and as compared to $2.9 million in the immediately preceding quarter. The increase was due to initial deliveries associated with two large orders received earlier within the first quarter. Operating loss for the first quarter of fiscal 2015 was $118,000, a substantial improvement from the $1.5 million incurred in the first quarter of last fiscal year and from the $1.2 million incurred in the immediately preceding quarter. The increase in net sales, improved gross margins and lower operating expenses all contributed to the reduction in our first quarter operating loss. These same factors also contributed to the lower net operating loss for the first quarter of fiscal 2015. Net loss for the first quarter was $443,000, as compared to $681,000 in the first quarter a year ago and $1.3 million in the fourth quarter of fiscal ‘14. Non-GAAP net loss was $226,000, which excludes non-cash expenses recorded in connection with the warrants granted as part of our debt agreement. I'm very pleased to see the immediate positive impact to operating performance from the $6.2 million filter order our Microsource subsidiary received associated with the F-16 aircraft platform and from the $2.4 million order Giga-tronics received from the Naval Air Warfare Center for the company’s Precision Scalar Analyzer. Through the hard work of our employees we were able to realize more than $2 million in net sales related to these orders. I anticipate continued improved results in fiscal 2015, as compared to last fiscal year due to these orders along with the expected contribution from the company’s new product later this year. With that I’d like to open the call for questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions). I am showing no questions at this time. Do you have any closing remarks? John Regazzi: Okay, John, thank you. I’d like to thank everybody for their continued interest in the company and have a good afternoon. Operator: Thank you, ladies and gentlemen. This concludes today’s conference call. Thank you for participating. You may now disconnect. Speakers please standby for your post conference.